Martin Sorrell: Okay. Welcome, everybody. This is our second call of the day. I'm joined Martin Sorrell, Executive Chairman of S4. I'm joined by Peter Rademaker, who's in Amsterdam, our CFO; Wes ter Haar and Victor Knaap in Amsterdam, the two founders of Media.Monks; Chris Martin in Boulder, Colorado. Some earthly -- well, it's less so now. It was unearthly a few hours ago. And last but not least, Scott Spirit, our Chief Growth Officer in Singapore. So thanks for joining us. We've got another big audience today, and hopefully, we'll have some Q&A as well. We have significant amount this morning. So the presentation, as you can see, is split up into several sections. Peter Rademaker is going to deal with the results; Scott Spirit, client momentum and mergers integration; Wes ter Haar is going to talk about our unitary structure and the implementation of that; Victor will -- Knaap will talk about content practice. Chris Martin and Pete Kim is also on the line as well. I think Pete's in San Francisco, so it's early there as well. So Pete and Chris will talk about -- Chris in particular, we'll talk about the data and digital media practice. And then I'll come back to me for a brief comment on summary and outlook, and then we'll take Q&A from anybody who wants to ask any questions. Over to you, Peter.
Peter Rademaker: Thank you, Mr. Martin. Good morning to all of you from the Netherlands, and thank you for joining us in our call. I will present to you in the next slide our financial performance of the first six months of 2021. And to start with a short summary, we had a very strong first half start to '21. Our results confirm that S4 Capital is converting at scale with our five whopper clients and high traction through land and expand with most of our clients. On our third birthday today, as a listed company, I am proud to present to you our significant growth of the first and second quarter of 2021. Our growth is significant, especially if you take into consideration the fact that last year, during the pandemic, each month and as a result, each quarter showed like-for-like growth. So we don't have the easy comps that -- to 2020 that some companies may have. Comparing '21 with 2019, we grew a sort of two-year stack with 61%. That's adding this year's 49% to last year's 12%, that's 61%. But if you would do it on a real like-for-like basis and a constant currency, it was even a two-year stack of 75%. Now turning to the financial performance on Slide 4 of the deck. Our billings were £547.5 million and pro forma £560 million billings to remind you our revenue, including our pass-through expenses mainly related to media. Our revenue, £279.3 million, up 98% from £141.3 million reported last year, and on a like-for-like 56% up; and pro forma, 57% up. Our gross profit, our most important measure, we express everything as a percentage of gross profit was £236.7 million, up 91% from £124 million last year. And like-for-like, it was up 49%; and pro forma, 50% up. Our operational EBITDA £34.3 million, up 91%; like-for-like, up 30%; and pro forma 36%; and our operational EBITDA margin was 14.5%, and that's the same equal as in 2020 reported, and like-for-like was 16.7% and pro forma was 15.7% -- 16.7% and 15.7%, sorry. Our operating loss was £16.1 million versus an operating profit last year of £1.3 million. And our operating loss like-for-like is £18.1 million. And our operating loss is especially to this size as a result of charging £47.4 million of adjusting items relating to acquisitions, amortization and share-based compensation and it includes a £16.1 million contingent consideration payment, and that's tied to a continued employment. We'll get back to that in a minute. And this adjustment was -- last year was a credit of £1.3 million and now it's a debtor charge of £16.1 million. Our loss for the period was £21.1 million, which includes these adjusting item after taxation versus £1.4 million loss on a reported basis last year and a like-for-like loss for £21.6 million. And our adjusted basic earnings per share were 3.9p versus 2.3p in 2020, which is 66% up. During the first half, we had strong liquidity, although -- or after significant merger payments and some settlement of contingent consideration, and we ended our cash with a net cash balance of £7.4 million, and this excludes our early August refinancing where we completed a €375 million senior secured seven-year term loan and a five-year £100 million revolving facility. We had a very good start into Q3. And based on this seven-month experience so far, we have increased our guidance for the third time this year to 40% on a like-for-like gross profit. We started the year with 25%, upped our guidance at Q1 to 30%, increased it again at our AGM in June. And now for the third time, we have increased another 5%. And on the next slide, on Page 5, is our quarterly performance since Q1 2020. As I just mentioned, we have been growing our like-for-like gross profit basis each and every month with stronger growth percentages last year, 19% in Q1 and 7% in Q2 and the pandemic really kicked in, in the whole world. And in Q3 and Q4, we were back in our mid-20% growth on a like-for-like basis. Over Q1, we reported 33% growth. And now in Q2, 66% growth, delivering for the first six months a 49% growth, as I indicated earlier. And on the next slide, our unaudited then consolidated income statements with our like-for-like currency numbers and pro forma's, which we typically include in these kind of presentations, and also as a result of our inorganic growth. And we believe that, that creates a good comparison and good insight on a like-for-like and a pro forma basis. I'm not going to run through all the numbers, but highlighting a few. Gross profit, 91% reported; 49% and 50% on a pro forma basis. And in the first half, we realized an operating loss of £16.1 million versus a profit of £1.3 million. And as you can see, that was heavily impacted by the increase of adjusting items. Last year, the adjusting items were almost £15 million. And this year, there are £47 million, or in other words, an increase of £32 million. Especially acquisition-related expenses, they are the main component of this increase of around -- increase of being around £25 million this extra charge is the result of our deal structure in M&A activities. In our deals, we include protective covenants, and one of these is continued employment during the period of our contingent consideration. And in line with IFRS rules, this means that contingent consideration needs to be included as personnel expenses and is not treated as a goodwill or intangible. So in practice, we immediately amortize in a way through the P&L this charge in relation to that continued employment. On the next page, the EBITDA is shown before and after central costs growing with 91% on a reported basis, 35% on a like-for-like and 41% on a pro forma basis. Before central costs, the margin in 2021 was 16.5%, again, on a reported basis, and that was the same in 2020. And after central cost, 14.5%, again, the same as in the first half year of 2020, and it's after a significant investment in human capital integration and implementing unified tooling in the group, 93% on adjusted operating profit and 102% growth on an adjusted profit before tax. On the next slide, the basic net result per share and adjusted basic earnings are shown. Main increase in this adjustment -- in the adjusting item consisting of acquisition-related expenses of £7.5 million, share-based compensation of £6.3 million, the revaluation of contingent consideration. This is, as I referred to earlier, the contingent consideration tied to the continued employment of -- mainly the founders. And finally, we adjusted amortization of our intangibles that are separated from goodwill and are amortized over a period of around 10 years. This all impact -- this all results in a basic and diluted net result of 3.9p and an adjusted earnings per share of 3.9p, which is growing with 66% compared to last year. On the next slide, our balance sheet. Again, I will highlight a few items. Our total assets further increased to £1.3 billion in this year as a result of anti-organic growth, so you see all positions, move on our balance sheet, and also driven by the completed transactions of TOMORROW in China, Stout in Germany, Jam3 in Canada and Rakoon in Brazil and it doesn't include our latest announcement around Destined and Cashmere, of course, because that was after the 30th of June. The net cash per the end of the second quarter is £7.4 million, so we're still in a net cash position and that does, of course, not contain the refinancing that we completed early August. Turning to the next page on our cash flow. The cash flow from operations were almost 60% of EBITDA, and the cash flow from financing activities -- sorry, I must say the 60% of EBITDA. And what you see is that we invested around £18 million in working capital. This time last year, we were at 99% EBITDA conversion for the full year and now at 60 -- investment in working capital as a result of our growth. And our cash flow from investing activities was almost £55 million, mostly relating, of course, to the combination payments and some of the contingent considerations. And finally, from a financing activities, we used our existing revolving facilities to finance the combinations, as I just mentioned. And turning to the next page, our gross profit and operational EBITDA. The 91% growth split between Content at a growth rate of 66% against reported 2022 -- 2020, sorry, and data & digital media at 169%. The Content operational EBITDA was £16.8 million with a margin of 10.7 as a percentage of gross profit. The Content practice operational EBITDA margin was at 10.7% compared to 16.4% last year, again reflecting the increased investment in human capital in the first half to staff the whoppers and prepare for a stronger second half, build client team structures, integration tools and software across our unitary organization for the longer term. So in other words, in Content, there was some investment in OpEx or the -- and that basically is the result of that decline in margin. Data & digital media operational EBITDA was £22.4 million with a margin of 28.2% compared to 16.9% last year, reflecting the positive impact of strong organic revenue growth and an operational gearing and the fall in travel, office and other operating expenses during COVID-19. And then turning to my last slide, which is the gross profit by geography. On a reported basis, Americas, North and South, grew with 90% compared to last year; EMEA with 101%; and APAC with 76%. And Americas, still the most important part in our business, 71% of total. Last year, it was 72%; and a pro forma, 72%; and the year before, 74%. EMEA was 20%; last year, 19% on a pro forma basis, a similar pattern. And Asia Pacific, 9% of total, and 2020 was the same; and pro forma this year and last year were an 8% contribution from the APAC region. And this ends my part of the presentation, and I will now hand over to Scott.
Scott Spirit: Great. Thank you very much, Peter. So if we can move on to the client section. So H1 was extremely strong for us in terms of new business at S4, which was obviously a key driver of the impressive growth figures Peter has just taken you through. We've seen excellent progress with our well-established client base. So we've seen strong consistent expansion growth from our larger clients like Google, Facebook, HP, Netflix and Mondelez. And there's a couple of examples I'd like to highlight here on this slide, which I think really exemplifies the speed and the scale of growth that our land and expand strategy delivers for us. So the first one is DoorDash, this was a client we won a small project for last year. We actually did a Valentine's Day campaign for them, and that led to a couple more projects. It was very successful. And then when you look at this year's H1 versus last year's H1, we're now doing 20x the revenue that we were. PayPal is another great example. So that was also a win early last year. We put a small embedded or hybrid team into PayPal on the West Coast of the U.S. This has successfully expanded now to similar emits in Europe and Asia. We're doing 10x the revenue growth in H1 '21 versus H1 '20. And actually, they've just broken into our top 10 clients for H1 '21. So all of this happens without any time wasted on pictures in the traditional centers and it's really fast expansionary growth. On the land side, we've added some really impressive logos in H1. So we've got exciting new work launching for clients like Instacart, Tiktok, Shopify Ride Games, OLX and others. Our fashion and luxury team that we hired a few months back in London have got off to a great start with multiple labels working with them. And then if you look at the total win and the Amazon Fashion win, those are new logos for existing clients with Amazon and. We do continue to be involved in several of the larger industry pictures, which whilst large for us would not probably be instant whoppers on a level of what BMW and Mondelez delivered. But the reality is that progress remains very slow versus our more established land and expand strategy, and that's certainly the primary focus for us when it comes to new business. Move on to the next slide. If we look at our clients by category, there's relatively little change. So technology continues to dominate, thanks to strong growth from our existing client base and some exciting new wins. Auto is the one sort of fast emerging category for us. So, it wasn't really even on the chart in H1 '20, but thanks to largely, but not entirely due to Vic and the BMW team. It now represents over 5% of our revenue for H1 '21. Mondelez has provided a similar jump in FMCG. It's an almost 2% jump there for that segment, too. Move on to the next slide. So this slide really speaks to the evolution of our whopper strategy, the growth that we've seen and the scale of our relationships with our clients. So as you can see on the left chart, the average size of our top 10 clients is up over 60%, our top 20 clients up over 75% and our top 50 clients up 80%, so really significant growth there. The table on the right shows how many clients we have in each revenue band, and the progression again from H1 '20 to H1 2021. We now have 10 clients over £5 million for H1 '21 versus only two last year. And the number of clients in the $1 million to $5 million category and the $0.1 million to $1 million band have also roughly doubled, showing a really strong pipeline for what we consider to be the potential whoppers of the future. This is a result of our successful land-and-expand strategy and significant investment in our client management function, which Vic will cover in more detail later on. Move on to the next slide, in the next section. So from an M&A perspective, we certainly ended 2020 and started '21 with a flurry of deals. And we've continued to add industry-leading capabilities and talent in data, content and digital media. After H1, we've also added sales force capabilities in Destined and creative and cultural capabilities in the recent Cashmere deal. Peter and his team raised our term loan of £375 million in July. And much of this, as we've said, will be directed at further mergers in the coming months and years. We have a very strong pipeline of potential deals across all areas of the Company, and you will no doubt hear more about that in very short time. Next slide. So this means that I now have almost 6,000 colleagues around the world in 33 markets. And as you will have seen recently, we united them all behind our single brand architecture of Media.Monks. And with this being up my last slide, that's the perfect segue for Wes, who's going to go into this unitary brand and structure in more detail. Over to you, Wes.
Wesley ter Haar: Thank you, Scott. Yes, I will run you through the unitary structure and why we are so excited about a period. If we go to the next slide, it really starts with understanding the foundational difference that was really the impetus for S4, which is, can we build something that organizes and operates differently from the traditional networks because it's truly single P&L, we don't have acquisitions with mergers, which means no perverse against earn-outs and no internal competitive or commercial billings. So on top of that foundational difference, we added lots of amazing teams and talent. If we go to the next slide, and we can see that hit -- August of this year where we launched the unitary brand. And the reason we did that was, even though we were operating and organizing different to the rest of the industry, if you look at it from a distance with all of the different logos and labels, it could still feel a bit traditional, which is why we now have Media.Monks. If we go to the next slide. It is really the one thing that the rest of the industry has not been able to do. Going single brand within the networks has always been extremely clunky and in some cases, has even been rolled back. So, it was really owning the role of being a disruptor, doing the one thing that nobody else has been able to do. But if we go to the next slide, it's not just the disruptive component. It's also about delivering on promises, promises to our people. We need all of our people to be colleagues because that means they can work everywhere and anything allows them to keep going and growing within the structure that we've put in place. This is about bigger and broader career opportunities, some of which are also related to just in very best-in-class work, but also for us as senior colleagues in this call and globally allows us to really double down in building a best-in-class place to work. Promise to our clients, they need access to the very best talent across all of our integrated capabilities across the globe, operating truly as a single P&L because that makes us a change agent partner. It means we help our clients accelerate and innovate their spend on advertising, marketing, media and technology; and then, of course, our promise to the market because we have basically different model. It is also a better business model that creates longer ongoing stakeholder -- more and longer ongoing stakeholder value. So with that being said, if we go to the next slide, we integrated Medium and some ITI with two foundational launching brands with S4, means we have two parts of this that all big interpret. One is the Hexagon, which is really micronized iconic, so the brand element. I'll talk a bit about what that means. So this is not just part of the low growth. It's part of our operating model. And then we have the dot. The dot really creates ownable space. And we've talked a lot about that recently. If we go to the next slide, ownable space means it's not just Media.Monks, but it's also Data. Monks, it's Social.Monks. It gives ownable space to teams are emerging into our organization to make sure teams can keep being entrepreneurial and really keep going and building at speed. If I go to the next slide, we'll talk a bit about the launch itself, often rebrands and brand launches are in the spotlight. There's lots of focus on the massive complements to our marketing team. I don't think we could have asked for a more seamless launch. Initially, the first wave was really hitting the big flagship, press, channels like. We can campaign. Lot's a really positive messaging around Media.Monks and Mighty integrating. And then if we go to the next slide, from those flagship press moments, we had lots of really great local and regional articles as well. That all sort of revolved around this understanding that there was a pretty foundational shift into how our industry tends to organize. If you were on LinkedIn, during about a two-week period, we did what we like feeding the feeds. I think it was very difficult not to be aware of what was happening within our industry for about a two-week period as we had so much positive press, but also our own colleagues and clients sharing the news. And then if you go to the next slide, it's over culminated in an article in the Drum titled, Wiser S4Capital. It's just so on attractive right now, which also mentioned our rebranding job. So I think that's nicely rolled out. We're very happy with those results. We've also had great feedback from our clients, which, of course, is an important part of this. Go to the next slide. I also think it gives us a moment to talk more cohesively about our aspirations and ambitions as a company. And we've called out the ambition to go in a decade, the iconic marketing services company of this decade. And our mission to get there is to change the industry. And we talk about changing the work, changing who does the work and changing what the work can do with a mindset of never standing still. This is really about being a disruptive player in our industry long-term and driven by the entrepreneurial energy that I think is quite distinctive to the model that we've put in place. So we go to the next slide, a bit more about that model. We call our organizational model, the API. And if we go to the next slide, that's really the way we allow our teams to connect, communicate and collaborate. In part, that is about the technology that we're integrating and building and making sure we have all of our teams in the same technology stack and great sort of consistent employee experience across those stacks. It's also about making sure our teams really know what their ownable spaces are within the organization, and we call that the C model. So if we go to the next slide, when we introduce the, this is what the API connects. We have our client teams, mentioned this earlier and Victor will talk about this a bit more on the content overview as well, but we've been investing in global client teams, which is one of the reasons we've been able to land and expand within our existing client base at much higher rates. We have our country teams. Our country team is really focused on winning local markets, finding local aero clients that hopefully we can expand into region, and then global clients, but also make sure that we can recruit and retain the very best talent in all the markets we are now active in. Both of those teams, client and teams have seamless access to our capabilities. These are really end-to-end delivery teams that do something really, really well, something like film or social, for instance. All those teams have access to our Course. Course is our hubbing model across the globe. We staffed up heavily in our Course as well to make sure we can service a massive uplift in interest that we're getting from our client base. All these things are being serviced by our corporate services, legal, IT, HR and the like. And in categories where the go-to-market space where we can closely go to market. We do messaging. Fashion is a great example of that. There's lots of focus at the moment in our Metaverse category story as well. So that is a quick update on unitary. And with that, I will hand it over to Victor.
Victor Knaap: Thanks, Wes. Hello, everyone, and many thanks for joining today. In the next few minutes, I will run you through the content slides and give you a bit of background, what we produced so far. So if we go to the next slide. In short, if it happens on the screen, we do everything it takes to make it happen. And in the following slides, we explain a bit what that means? And it means that we're in it to win it with the best-in-class craft. We're on the Adweek's fastest growing list again. We won 17 Cannes Lions, 6 Webby and over 170 awards in Creative Craft just in H1 alone. And I think the uncensored library of reporters without borders is a very good example of that. And it also shows the earlier version of how things in the major first can work. And if you go to the next slide, we will see a short film what we produced so far. [Audio/Video Presentation]
Victor Knaap: Very short overview of the first six months. Thanks for watching. There's all resulted in becoming a production agency of the year, a long-term ambition from Wes and me. I think we went to the 10 years ago for the first time, so super proud of that. And actually, we had four projects that really stand out. For Spotify along with me; Reporters without Borders, which I just mentioned, the Netflix Guides; and Sanofi Kiddie World as the top winners in content for the first six months of the year. And if you move to the next slide, I will run you through the goals for the next six months. So how do we go from winning gold to goals. And there's four major elements that Wes referred to as well, and I will deep dive into that in the next sheet. We changed the work. We want to change who does the work. We're changing what the work can do. And we're making that work matter. So if we go to the first one, how we change the work is one of the most exciting products at this moment is our life-event business. And due to COVID, we have set the stage for flexible hybrid experiences. We built immersive worlds for Pokemon and Post Malone and we provided the design elements for the virtual fun festival. We're focused on life, multi-user experience, and we will continue to be a focus for brands as they set their sites on the coming. We have a close partnership with Epic Games, and we're very well suited to help brands build immersive 3D experiences. So if we move to the next slide, and it's all -- also a very important element of our business at this moment is to look for talent outside of the traditional agency environment. We want to inject fresh perspective into our teams. And we already made a series of high-profile unconventional hires. And next to that, Jam3 joining with an intense commitment to craft, Stout that joined with expertise in automotive and real-time personalization and obviously, our latest addition in Content, Cashmere that adds the cultural knowledge and insights. And if we move on to the next slide, you can see what it means for the brands that we're working with. And we took out Mondelez as an example. A Mondelez partnership enters the second year, and it already caught the attention of research firms like and. And our work with Mondelez is really helping brand reaches audience around the world with hyper local relevance. And it's also down to our partnership with Epic Games and our real-time production for an OREO that is now futures -- an epic future course on creating 3D ads -- ads in 3D. So when we move to the next sheet, it's all around who does the work and what kind of initiatives we spend our time upon. We have long realized that we need to drive diversity and inclusion because our industry historically hasn't has been exclusive for many. And we welcomed our culture agency Cashmere, but we also build a mix of pro bono work that cast a spotlight on creatives and entrepreneurs of color. And we placed a much greater focus on work for LGBTQ and pride brands like YouTube, Adidas, Oreo, TikTok and many more. So if we go to the last slide of this section, a bit of a wrap-up. So H1 has been a land grab, and we expand it with scale and with speed. We focused on embedding and scaling two whoppers close to from scratch. We won it last year, and we're scaling it up today with almost 400 people working across them globally. We managed to get two additional whoppers, so we're in five now, by just scaling up our client teams globally and expanding their relationships into new countries and offering new capabilities. And we realize there is a lot of work to do still. The client-first model will be built out, and it will pay off in the future for us and for the brands that we work with. We will see higher profitability in H2 and bigger gains to come in 2022. So what's next? 2021 was maybe the most active new business environment we have ever been involved in. And although Wes and me are only 20 years in the game when you compare it to Sir Martin, it is insane what kind of inbound we're getting and some of them we expect to become future whoppers. But also a very important part of our business is adding local heroes because it will help us recruit and retain the very best talent in markets where we're active in, and we will keep on expanding our existing clients. We have a very high speed rate, and we are able to quickly staff and service requests as they come in. So we will continue this investment in talent, teams and subject matter expertise and it will aggressively shorten our DTW or time to whopper. And we will see many clients moving in to a higher bracket of revenue and even earlier than we expected in the beginning of the year. So that's it for me. And I would like to hand it over to Chris to talk a bit more about data and digital media.
Chris Martin: Thanks, Victor. Hi, everyone, Christopher Martin, Executive Director, but primarily shepherding our data & digital media practice. I love Victor's team of if it happens on a screen, we do everything it takes to make it happen. And much of that magic happens behind the scenes with our data & digital media practices, but increasingly in lockstep with our content and creative groups. So in our unitary approach and our six C's foundational API structure, which is represented very meaningfully with Hexagon and our brand-new name, the data & digital media practice continues to build from the center and uses privacy by design to weave together technology, media, data and content capabilities for all of our clients. DDM has been delivering significant organic and inorganic growth on a gross and contributing margin, both year-on-year as well as the two-year stack. And in 2021, we started setting our sights on the top content whoppers as well as supporting full AOR opportunities, of which we are increasingly finding ourselves being invited to these days. So in the first half of 2021, on the next slide, we invested in four key areas to grow the DDM pillar. First, video end-to-end. Consumer behavior is changing what, where, when and how video is consumed and that leads to fragmentation and new formats. And our clients and brand marketers' toolkit is changing very quickly. To help drive this very important category, we tapped Richard Lawrence, who joined us from his prior role as Amazon Advertising's Advanced TV product manager. In his role there at Amazon, he was to build the products that Amazon uses to grow brand equity and capture hard-to-reach audiences that have long ago migrated from their linear TV habits and are now consuming media via Amazon. We're watching Amazon very closely within this category of video end to end as they make moves to surround consumers and its latest move into the devices space with an Amazon television, actual hardware. And as it continues to be the largest scaled player with consumer data, and they know pretty much everything about what you watch as well as what you purchased, the largest scaled player in that space. So we're pushing very hard and weaving together the strategies that combine YouTube, Amazon Prime and many other advanced TV formats, including subscription, connected TV, programmatic TV, over-the-top television that makes sense for the brand marketer. The second area that we invested in heavily at the beginning of the year is marketing effectiveness. If you remember, if you are on these calls back in early 2019, we set out a goal to build a global analytics deployment capability at Media.Monks to get ahead of the anticipated depth of cookie and depth of deterministic identifier challenges that are going to plague our industry over the next 10 years. And the last merger we did in the space was Brightblue, who we have now coined as our measurement monks. That is a great foundational base to expand comprehensive measurement capabilities in a post-cookie world for digital advertising, using advanced media mix modeling, NMM modeling and econometric modeling packages, and reporting in a world we're attracting consumers on the Internet using cookies and other deterministic identifiers coming to a very quick and abrupt end. The third area, marketing end-to-end infrastructure, which is really just code name for sales force capabilities these days, so sales force is the digital journey concierge. They are focusing on investments in e-commerce, consumer data platforms, enterprisers workflow, including Slack, the most recent merger. In order to deliver on their promise to marketers, we are going to be continuing to build out our sales practice -- sales force practice delivery capabilities in Destined in Sydney, covering Asia Pacific, was our first and hopefully may steps forward on a global sales force capability. And we are going to continue to invest in our organic growth around Commerce Cloud, Marketing Cloud and Service Cloud, three of the more important cloud frameworks that sales force has -- that impact our industry. And then the final pillar, performance. The other day, I watched a very interesting lovely interview with Daymond John from Shark Tank and Sir Martin, and they were discussing how our business, Media.Monks, is really a disruptive event inside the marketing industry, and that interview drew parallels to how Tesla disrupts automotive and Amazon disrupts retail. And it reminded me of yet another Shark Tank star, Evan Carmichael, talking about how four years ago, if somebody had asked him what new college grads or up-and-coming stars of the industry in the future, what they were going to study and what they should focus on. It would have been engineering and the sciences. And now he's pivoting to say that it's actually going to be in the next decade, the storytellers, the creatives that have the technology backing to help drive direct-to-consumer speed and momentum by bringing brand stories in a personalized way to the folks that consume media in a completely different way than they did just 10 years ago. So, it is that DTC activation energy and distribution that has been lowered, and it's really the storytelling and the content enablement across those new platforms that is going to be the game changer in the coming decade. So we are investing heavily in the performance space, looking at SMB, growth and challenger brands, taking you from zero to $1 billion, and that you will see manifest itself in merger rationale around metric theory or Racoon and perhaps some more where we can take those capabilities and not only grow brands from nothing to global, but also build a strong DTC framework for our enterprise clients. Moving into our first case study in health care. Media.Monks began working with a nonprofit about two years ago. It is a scaled global nonprofit. Unfortunately, I can't share the name. But they have a mission in building a best-in-class digital team focused on becoming more audience-centric, data-driven and nimble with a particular eye on efficiency of media in order to extract as much value as possible from donation dollars. Media.Monks successfully helped them reimagine their organizational structure, cleaned up their paid media execution and enable them to be more data-driven in how they optimize those executions. And remember, they are hands on keyboard. We are a consultant or a facilitator in these relationships. This came to fruition during their end-of-year campaign where we were able to help them achieve over 90% growth in donations year-on-year from this channel and a ROAs exceeding 240%, which means for every $1 they invested, they got back $1.40 on that investment -- or $2.40, net $1.40. So this year, they set off on a mission to acquire the next 11 million donors with us while continuing to cultivate relationships that they have with existing donors. And in order to do this, they work with us to increase the maturity across their sales force, marketing cloud and bridge the gap between adtech and martech by bringing paid channels as well as e-mail channels together. And one of the anecdotal side bars of the story is that the client received a $100,000 donation attributed directly to the direct response TV spot that we help them run on YouTube versus one of the traditional channels. And that is pretty amazing considering a DR campaign that is normally catered to a traditional channel like TV or direct mail, could be so effective in a digital channel, and we were able to help them make that transition. Our next study, a quick deep dive into Mattel. I'm excited to say that we're now working with Mattel, who brings joy to hundreds of millions of children with brands such as Barbie, Hot Wheels, Fisher-Price, American Girl for over 70 years. And we are helping them think about ways that they can use data in a world that is very complex to navigate when you have really two customers, both the children and the parents. And those customer relationships are only going to be more important to them as DTC and brick-and-mortar changes happen in the industry over the next decade. Five9 is the next case study. And we picked them up and helped them effectively sell their company. So Five9 looks to us for programmatic and direct media buying efforts as well as performance media. We were able to scale their managed budget and hit their performance goals by increasing spend by 15%, generating 20% to 30% more on revenue, depending on when you were looking. And we're going to be supporting the integration of Five9 into Zoom, who we recently acquired them. And we're looking to significantly increase the media budgets that we manage for them because of that merger in early 2022. Other performance clients that we focus on SMB and growth and challenger space, Course that AI recently acquired by ZoomInfo, Silver Peak acquired by Hewlett Packard, ServiceMax IPOing shortly and acquired by -- they were acquired by GE a few years ago, but now they are going IPO. These are incredibly important growth segments for our business, and we're continuing to invest in the performance space to chase them. Our final case study, just a quick one. Really, this is not a story of DDM at Media.Monks. This is a Media.Monks story, a truly combined effort across all of our six Cs, countries, categories and capabilities woven together in a single comprehensive engagement, bringing a lean team of just 50 people, but they are the best and brightest across the globe and the most relevant talent to bring to bear on this particular client, a truly integrated case study for us, bringing here some to the rest of the globe. And so with that, I'm looking forward to a very strong second half in 2021, and I will hand it back to Sir Martin to share our H2 and 2020 outlook.
Martin Sorrell: Thanks, Chris, and thanks, Scott, and Victor and Wesley and Peter. So just a brief summary -- before going into the summary, it really is a two-speed world. I mean it's a tale of two cities, two countries. We have a digital growth industry and a slow growth or no growth traditional analog media industry. And I think that's exemplified by this slide where we compare the two-year stack. So there was an article in Lex in the FT recently about the proclivity of CEOs to talk about 2021 and Q2 of 2021 as their best ever quarters and ignoring the fact that Q1 of 2020 was their worst. So this looks at the two years obviously takes into account the impact of COVID, particularly in Q2 of 2020. And you'll see the two-year statistics for Q1 and Q2 and compares them, firstly and most importantly, most starkly with Google and with Facebook, Facebook Advertising, Accenture and Globant. And you can see the directional difference to -- between the digital companies and the ad holdcos. And it reminds me of the Warren Buffett thesis that many years ago, in the 1970s and '80s, that investing in the -- it was IPG and at that time was a royalty on the growth of globalization. I think what this demonstrates is investment in S4 is a royalty in the growth of the digital platforms. So with that as background, let me just summarize where we are at the end of H1 of the first half of 2021. We had extremely strong organic growth in the first half, doubling up from 33% organic to 66% with a 75% two-year stack. Growth has continued in July at over 50%. And July last year, we did 18%. So it's a two-year stack on a simple basis of 68%, would be more if we looked at it on a full pro forma basis. Continued strong liquidity, boosted by the term loan, the euro term loan of £375 million that we completed in July and August. We have a very healthy merger pipeline, as Scott indicated, in technology, in data and analytics, in content and indeed in digital media. And we'll be looking at technology services with increasing intensity in the very near future. We've had a very successful Media.Monks brand rollout, as Wes mentioned, and that's underpinned significant continued progress in our unitary structure, which we focus on intently, given the activity that we're generating. And of course, we have continued new business and whopper momentum, as Scott mentioned in his analysis of average size of clients in the first half of this year in the prospects. We raised our like-for-like net revenue guidance for the third time this year. We started, as you remember, at 25%, which implied a doubling of the size of the Company in three years. We raised it to 30% to 35% and now to 40%. And we've reiterated our confidence in doubling the size of the Company over that three-year period of '21 to '23, in addition to the two previous triennial periods that we've had 2019, '21 and 2022. We think there are very strong prospects for the second half. It started off with a very strong July at over 50%, as we said. There are tailwinds for 2022, in particular. One is GDP growth of 4% to 5% next year against 5%to 6% this year. So slight down trend in worldwide GDP growth after the fiscal and monetary stimulus, but that's natural given the tapering that is going to take place. But the other tailwind around digital transformation and disruption will continue, and in our view, heighten as we go into '23 because at times of economic weakness, or weaker conditions, what we tend to see is digital disruption and change agents, coming to the fore inside companies. So we see significant continued growth opportunities in '21, the second half, in '22 and looking further at 23%. So with that as a background, that's about 50, 55 minutes on the Company in the first half, but we're willing to take any Q&A that we have on the call.
Operator: [Operator Instructions] We will now take our first question from at Omar Sheikh from Morgan Stanley. Please go ahead. Your line is open.
Omar Sheikh: Good afternoon everyone again. I've just got a couple of questions, if I could. So Martin, I wonder, if you could maybe start with just talking about the growth in the second half that you expect? I mean the land and expand strategy has been super successful in driving your past growth. You've obviously indicated that the whoppers that you're planning to add won't come through till next year. So could you maybe just give us a bit of color on where you're expecting the kind of the revenue growth that you guided to in the second half to come from? Whether it's in client verticals or any other to choose? So that's the first question. And then secondly, maybe one for Peter. We heard Wes talk about the unitary structure. I wonder whether you could just tell us what is the P&L investment that you made in that in total, if it's possible to put a figure on that? And actually, if I could just squeeze in the third, if that's possible for one for Peter as well. When we read quite a lot about pressure on hiring in the traditional agency holdcos, I wonder whether you're seeing any sort of pressure on staff churn in any way or wage inflation amongst your employees? Thank you very much.
Martin Sorrell: Okay. On that third question, maybe we would pull in Chris and Wes because we had a similar question on the U.K. call on churn and -- from Joe Spooner. So we'll maybe Wes and Chris can respond on that. Let me try and deal with the first question, Omar, and then Peter talk about the extent of our investments in software and integration and unitary structure. I think, Omar, it's across the board. I think what people -- and I really think we have to get away from be so bold. I think analysts are going to start looking at the digital industry and the traditional industry as two separate buckets. I think you confuse the two by conflating them, and they are moving, obviously, at -- if not in certain different directions, you got to argue that they're moving in different directions, they are certainly moving at different speeds. And as we go through the pandemic in '21 and '22, we're seeing a divergence and increasing divergence in that speed. If I look at Google and Facebook and Amazon this year and their first half, they were up. I think, it was Google, if I just check my cheat sheet, was up 57% in the first half on a two-year stack basis; and Facebook, 66% on a two-year stack basis. And if you look at their advertising revenue numbers, Google looks as though it will go from about £180 billion to £230 million, £235 million, £240 billion; Facebook from £80 million to £115 million, £120 million; and Amazon from £25 million to £35 million. Those three platforms alone will inject another £100 billion into digital media. So if digital media this year is about £650 billion and if it's growing at about -- I think the holdcos are all grouped around sort of 10% to 12% with digital up 20% and traditional up 5% or something like that, there is this divergence. And I think that's what you're seeing. So our second half is going to continue to reflect that, I mean, July reflects that. As you know, we've said it's over 50. Steve Lite, I think, mentioned to us that -- reminded us that we were up 18% last year. In July, we did 23% in Q3; and 27%, I think it was in Q4; 23%, 24% in Q3; 27% in Q4. So obviously, the comps get tougher in a sense. But of course, if you look at the two-year stack, I think that's a good indication of what should be happening. So with the industry growing at 20%, we're doing 50% in the first half. We'll see how it all comes out. And I think our thinking around the second half revolves around a couple of things. Firstly, the comparators do get harder, but it's the natural conservatism. We've taken up our guidance from 25 to 30 to 35 and now to 40. One of the analysts on the call this morning asked whether Q3 we would take it up to 45. And I said we'll see when we get to Q3. But having said that, I think being quite conservative on our guidance, and we look at the comparatives. In terms of verticals, it's across the board. There is some evidence, the rise of the delta variant or the spread of the delta variant, obviously, has pushed some live events off. You've seen some big film launches being pushed back. But I think generally, what we see, if there is some delay on live events, the slack is taken up by online events or hybrid events becoming more important. So I think we see it across the board. You would expect travel and hospitality to pick up. We see one or two things happening in the travel and hospitality area that have been really interesting in the last few weeks and promise interesting opportunities for this year -- for particularly for next year, but for the end of this year. So I wouldn't distinguish, Omar, between particular verticals. Tech continues to be strong. Those clients tend to look at the sky, as we've said before, rather than their boots. So pretty much across the board. With that, I mean Peter, do you want to talk a little bit about the investment that we made in teams, et cetera?
Peter Rademaker: Yes. No, sure. So to your question, Omar, these are always the hard parts to measure. You invest in a growth team, for example, for our whopper clients, and what do they bring and how do you treat exactly the investment. But I would take it sort of more from a sort of high-level approach that I think, I said it this morning as well, this year, our 14.5% EBITDA margin in the first half is quite similar to last year. In a way, I would have expected it slightly higher given the size. And also, as I indicated this morning, my expectations, current expectations are that we would end up in an EBITDA margin of high 19% instead of where we were last year at 21% and not so much to immediately say, oh, 21% minus 19% or whatever, it exactly is 2%. But in a way, software tooling, investment, consulting, implementation and all these kind of things, I would expect us to be in the sort of 2% to 3% investment area. That's our OpEx investment with e-comm, a little bit with what Chris elaborated in CTV, the software tooling, the unified brand, that's a sort of range. I don't have the math or the addition of all the numbers, but that's my best expectation.
Martin Sorrell: Yes. I mean 2% at the net revenue, gross profit forecast that the market generally has, which is around what, £550, would be about £10 million or £11 million. So that, sort of puts it in you've seen that the holdco costs have gone up in the first half of this year. And obviously, the margins that we show or the EBITDA margins for both Content and for data & digital media before the holdco costs. So you can see the investment roughly, Omar, that we're making in that area. Wes, do you want to talk a little bit about churn, potential inflation in labor and what you're seeing in the markets? And then Chris may be on data & digital media?
Wesley ter Haar: Yes. So as a team, we were looking at some data of last week, which I think shows that the 8 to 34 generation range is a little bit happy with work than about 1 year, 1.5 years ago. There's a bit of key there, but I think so much of sort of social life and likeliness at that age group tends to revolve around work and offices and the like. And it's definitely sort of reading into what I think some resignation. In taking the industry, I think we're doing better than most when it comes to churn, and we have lots of really, really active inbound. I think people really want to join the Company. So the churn that is higher, we've been able to balance out. There is definitely some inflation pressure on salaries, which I think is being driven by the companies that weren't growing during COVID. I think we were one of the companies that this just not fire anyone in our industry, but we grew quite aggressively. A lot of our competitors weren't able to do so, and they needed to pay a premium when the economy sort of rebounded and the pipeline rebounded. So, there's lots of very quick hiring that happened because of that, which definitely has highest impact on price point. I think we've been able to handle that quite well also because we have a strong story with stock incentives, and I think is a bit of a moat. But there's definitely inflation pressures because of the quick hiring that needed to happen by a lot of our competitors in the industry. Chris, we were charging late yesterday.
Chris Martin: I can only echo all of that. And then the only other things that I would add, this is an industry and even in just an economy-wide problem, when Wes cited that statistic, that's not Media.Monks. That is the United States. So 18 to 34 intense job dissatisfaction, dropping from the 80s down to the 50s and something like that. So this is a grass is greener on the other side type of challenge, where folks are sitting potentially behind the screen for months, years at a time, potentially not wanting to go back to their service industry job, et cetera, and they're looking to do something, anything new. And we see it in our own business. But when I'm talking with my peers in the industry, even on the other side of competitive files, they are saying the exact same thing, and they keep saying, oh, we're losing all the people to you. Meanwhile, I'm looking at my own ranks and we're losing a few to them. In general, net-net, I think we are a benefactor of this particular challenge. I even have clients calling me up and saying we have so much churn on our marketing team that we need your team to help us provide business continuity. We have to come in and help us source some of the folks that were churning and then help us recruit and train the new ones coming in. So in a way, the economy is up, we do well; the economy is down, we do well. In this particular case, the chaos has only provided additional opportunities for us to grow relationships with clients and help them in their time of need.
Martin Sorrell: Okay, any other questions, operator? And else I remind, are you happy with that? Any other questions?
Operator: [Operator Instructions] I think that all the questions that we have for today.
Martin Sorrell: No. No more. Okay. Thanks everybody, for joining us. I think they were about 50-or-so people on the webcast. We had about just under 200 on the U.K. one. So thanks for all joining us, and thanks to my colleagues for getting up at unearthly hours, particularly in America, not staying up too late in Singapore. See you all on Q3. Thanks very much. Bye.